Operator: Good day ladies and gentlemen and welcome to the UGI and AmeriGas Partners LP third quarter earnings conference call. At this time, all participants are in a listen-only mode. Later we will conduct the question-answer session and instructions will follow at that time. (Operator Instructions). I would like to introduce the host for today’s conference Mr. Huge Gallagher. Your line is open.
Huge Gallagher: Thank you. Good afternoon and thank you for joining us. As we begin, let me remind you that our comments today will include certain forward looking statements which the management of UGI and AmeriGas believe to be reasonable as of today’s date only. Actual results may differ significantly because of risks and uncertainties that are difficult to predict and many of which are beyond management’s control. You should read the annual reports on Form 10-K for a more extensive list of factors that could affect results, but among them are adverse weather conditions, cost volatility and availability of all energy products, increased customer conservation measures, the impact of pending and future leading proceedings, domestic and international political, regulatory and economic conditions, currency exchange rate fluctuations and in particular the euro, the timing and development of Marcellus Shale gas production, the timing and success of our acquisitions, commercial initiatives and investments to grow our business and competition from the same and alternative sources. UGI and AmeriGas undertake no obligation to release revisions to its forward-looking statements to reflect events or circumstances currently after today. In addition, our remarks today will reference certain non-GAAP financial measures that management beliefs provides useful information to investors to more effectively evaluate the year-over-year results operations of the company. These non-GAAP financial measures are not comparable to measures used by other companies and should be considered in conjunction with performance measures such as cash flow from operating activity. With me today are John Walsh, President and COO of UGI; Gene Bissell, President and CEO of AmeriGas and your host Chairman and CEO of UGI Corporation, Lon Greenberg. Lon?
Lon Greenberg: Thank you Huge. Let me also welcome everyone to our call. I trust you had the opportunity to review our press releases reporting our third quarter results. Huge’s going to provide you with more detail on our financial results later when he gets his comments. I must confess this was one of the more unusual quarters for us. In my many years as CEO of this organization, I have never seen a third quarter where the weather and one of our business units was over 40% warmer than normal. Kind of gives the term historic one new meaning for us. While the third quarter is clearly not the most important in terms of overall degree days, our French business for example experiences nearly 18% of a teeing of heat days during this period. Thus despite the year-over-year combined better results from our other business units, our overall results were lower than the prior year and that short fall in the quarter in our international business was due to weather and in the case of our (inaudible) business, the recognition of some acquisition related expenses that we referenced in the press release. This is the total of those things as something around $0.10 maybe a little bit more than $0.10 during this quarter. I don’t want to unduly focus on short-term weather patterns as events like this are temporary, they are transitory and they are not reflective of the fundamental shift in our business. Having said all that, I certainly do prefer normal weather. Now speaking of our outlook, I’ll have more to say about that later in the call, but for this fiscal year which as you know ends in a couple of months at the end of September, we reduced our guidance to approximately $2.20 a share for UGI which translated means, 2.20 plus or minus a $0.01 a $0.02. This guidance reflects simple arithmetic from our prior guidance given last quarter. With respect to AmeriGas, we fine-tuned our guidance a bit to now be between 335, $340 million of EBITDA. At this point, let me turn the call over to Huge and then John and Gene will follow and then finally I’ll have some concluding remarks. So, Huge.
Huge Gallagher: So thanks Lon. I will be providing an overview of the financial results of each of our businesses followed by a discussion of cash flow and liquidity and then an update on financing activities during the quarter. We reported a loss for the quarter of $0.06 per share compared to earnings of $0.03 per share reported for the same quarter in fiscal 2010. Company’s third quarter results reflect the impact of significantly warmer than normal weather on international propane business where weather and Antargaz is 42% warmer than the prior year and (inaudible) is also experienced weather that was significantly warmer than the prior year. Our gas utility had another strong quarter with $2.1 million increase in net income and AmeriGas posted a 14% increase in partnership to EBITDA to 31.1 million. Some highlights of each business unit. International Propane recorded an operating loss of 9.2 million euros compared to operating income of 1.3 million euros in the prior year period. The primary driver of this quarter-over-quarter variance was decrease in total margin and Antargaz associated with the warmer weather. The weaker US dollar versus the euro also contributed to the net loss attributable to UGI from International Propane by about 2.1 million or $0.02 per share. Gas utility operating income increased 3.4 million in the current quarter versus last year primarily as a result of higher throughput to core market customers resulting from weather that was 11.3% colder than last year. AmeriGas’ EBITDA 31.1 million for the current quarter compared favorably to 27.2 million for the prior year quarter as colder spring weather and higher commercial sales contributed to a 5 million gallon increase in retail volume sold. And in our midstream and marketing business, operating income increased 1.5 million resulting from net gas marketing margins and incremental margin from gas storage services which will partially offset by lower margins from electric generation in the absence of margin from Atlantic Energy which was divested last year and higher operating expenses. Turning to cash flow and liquidity. Year-to-date cash flow from operating activities was approximately 467 million versus 517 million for the same period last year. Capital expenditures were 245 million for the nine months ended June 30th, 2011 versus 229 million for the same period last year with the bulk of this increase attributable to expenditures that are utility. We continue to forecast CapEx for the full year to be in the range of 380 million which is in line with the estimate we provided on last quarter’s quarter but about 25 million lower than what was listed in our 2010 Form-10K and the change again represents the slower pace of spending on investments in midstream and marketing primarily the Marcellus Shale infrastructure related project. Partially offset by higher CapEx at the gas utility and AmeriGas. Our consolidated cash position excluding restricted cash was 318 million at June 30th, 2011 compared to 242 million at June 30th, 2010 and excluding cash held by the operating subsidiaries UGI had a $105 million of cash available to it at June 30th, 2011. As of the end of June AmeriGas had outstanding borrowings under its credit facility of 176 million. Utilities had no borrowings under its revolver and $109 million of cash on hand. Antargaz had no borrowings under its revolver with $23 million of cash on hand and our midstream and marketing business had cash of 46 million and was not utilizing either its accounts receivable facility or its revolving credit facility. A brief financing update before I turn it over to John for the operations discussion. Financing activity during the quarter included the placement of a new 300 million revolving credit facility at UGI Utilities in May and the competition of a new 325 million revolving credit facility at AmeriGas in June. For the remainder of the year the only plans financings are to replace the term loan and the credit facility in our business in (inaudible). We also announced earlier today that AmeriGas intends to offer 450 million of senior notes priced at 6.25% due 2019, the proceeds of which will be utilized to fund the tender offer for the $350 million of AmeriGas’ 7 and 8% notes due 2016 and to repay a portion of the borrowings outstanding under AmeriGas’ revolving credit facility. Upon completion of the note offering, the partnership expects to incur a loss on extinguishment of debt. We anticipate this loss on extinguishment of debt would be approximately 20 million which will reduce UGI’s earnings by approximately $0.05 per diluted share. Since the financing is not completed at this point, this anticipated loss was not included in the full year guidance for AmeriGas or UGI that was provided in the press releases from this morning and last night. And now I’ll turn it over to John for his report on operations for the quarter, John?
John Walsh: Thanks Huge. As noted by both Lon and Huge, Q3 presented some significant challenges, particularly the very warm weather in Europe and continued high product cost for both our US and European propane businesses. Despite these short-term challenges, we remain focused on growth and investment opportunities in our core businesses. Our programs target expansion within our current business segments as well as the identification of new segments that can be developed within our existing service areas. I’d like to briefly comment on progress in Q3. Our gas utilities remain on course for strong customer growth performance in fiscal year ‘11. While the new home segment remains stagnant, our conversion activity, both residential and commercial is approaching record levels. Our residential conversions and upgrades have increased almost 50% year-on-year while commercial customer additions primarily from conversions are up almost 20%. We are seeing the direct impact of Marcellus Shale activity in the northern and western sections of our service territory which provides us with more balanced growth than we previously seen. We expect to add roughly 12,000 new customers by the end of fiscal year ‘11 with conversions accounting for the majority of those additions. Our midstream and marketing business concluded a successful initial quarter managing our 15 Bcf gas storage field in north central Pennsylvania. This facility was transferred to (inaudible) regulation at market based rates on April 1st and is 100% subscribed by range of customers under one year contracts. We see this as a strategic asset that will assist us in the development of our broader Marcellus strategy in the coming years. As an example, we are receiving requests from producers for direct connections our storage. We expect our first producer interconnect and (inaudible) county to take place in September. This will provide our storage customers with direct access to Marcellus gas producers. AmeriGas has begun to see a striking a bear commercial segment volumes. This improved performance reflects our focus on leveraging our commercial sales team to deliver growth from a targeted set of customer segments where demand is recovering. We believe that we are well positioned to deliver above average growth in the commercial segment as the broader economic recovery occurs. In addition to growing our core businesses, it’s equally important for us to maintain our focus on reinvesting this cash generated by those businesses. There were a number of noteworthy developments on major projects during the quarter. We successfully completed our Hunlock project to repower our 44 megawatt coal fired electric generating station as a 125 megawatt gas fired facility. The commissioning phase from much of Q3 and we were exporting power to the PGM grid by quarter end. Our second major marketing and midstream capital project the $120 million expansion of our LNG peaking facility in Temple, Pennsylvania remains on schedule. We expect mechanical completion at Temple early next year, with start-up schedule before the end of fiscal year ‘12. Our activity in the Marcellus Shale region remains a high priority. We continue to make good progress on our gathering system project to serve Marcellus producers and Wyoming County, Pennsylvania. UGI Utility has recently received approval from the Pennsylvania PUC to transfer a nine mile pipeline to UGI Midstream and Marketing. This pipeline will cost a portion of our Wyoming County infrastructure. We expect our Wyoming County gathering services to begin later this quarter and are in active discussions with other producers in the area and are looking to transport their gas to market. As noted on our last call, we’ve adjusted the timing of our PENNSTAR project to natural gas pipeline in northeastern Pennsylvania that we are jointly developing with NiSource. We now estimate an in service date in late 2013 or early 2014. The timing of our filing depending on commitments from anchor shippers. Producers from (inaudible) entrusted in this project as will provide them access to multiple interstate pipelines and markets. I now like to turn it over to Gene who will provide you with details on AmeriGas’ performance in Q3. Gene.
Gene Bissell: Thanks John. We are pleased to be reporting a $4 million increase in adjusted EBITDA in the quarter compared to last year. Volume was 3.2% compared to last year’s third quarter due to colder weather and increased volumes sold to our ASN strategic account customers. Also propane prices continue to be well above last year. The average cost of propane for the quarter was $1.58 gallon compared to $1.8 last year, an increase of 38%. Higher propane prices have been an issue throughout the year with wholesale prices through June up 21% from last year. For the most part, the increases in propane prices are a reflection of high energy prices generally. Because higher energy prices also have an impact on our expenses. Expenses for the quarter were up about $8 million. About a third of this increase was due to the higher vehicle fuel expense as a result of the increase in the cost of diesel and gasoline. I should point out that we recovered these additional costs through our customer fuel surcharge. We also had higher payroll on the higher volume, an increased medical and general insurance expense. Turning to our gross strategies, volume and our ACE grill cylinder exchange business continues to be strong, with volume up 8% through June due primarily to an increase in the number of locations that we serve. We currently have a backlog of more than 1,500 additional installations to complete. Our strategic accounts volume is up 4.4% year-to-date due to new customers regained, along with increased penetration of existing accounts. Our key segment where our strategic accounts team has added locations includes freight companies, railroad accounts and the resell segment. For the growth in ACE and strategic account locations are a reflection of the focus that we placed on these business segments but also the benefit of our unmatched geographic coverage. For large national companies that want to consolidate their purchases, no propane supplier can service as many of their locations as AmeriGas can. This is a significant competitive advantage at a time when many companies are looking to reduce their cost by consolidating vendors. We have closed 13 acquisitions so far this fiscal year, which will add about 13 million gallons on an annualized basis. We continue to find a number of small, independent marketers who are interested in considering the sale of their business. With over 3,200 propane companies operating nationally, this continues to be a target rich environment and integration of acquisitions is a strength for AmeriGas. Based on our results through June and our expectations for the balance of the year, we are projecting full year adjusted EBITDA of 335 to 340 million assuming normal weather for September. We’ll continue to manage our margins and our expenses in line with our volume. In addition, we’ll continue to focus on growing our EBITDA through effective execution of our growth strategies, acquisitions, growth in ACE and strategic accounts and growing our local residential and commercial customer base through superior service. I’d like to finish my remarks by thanking our employees for helping us complete all of the ACE and strategic account installations that helped us achieve an increase in our volume to the quarter. And now I’d like to turn the call back to Lon for some concluding remarks.
Lon Greenberg: Thanks Gene. I want to close with a few comments. Just once more briefly on this quarter, as I noted earlier the lack of a normal spring weather overseas is the driver behind the shortfall we experienced this quarter and to help you put that in perspective, if you recall at the end of the six months period, in our overseas business, on roughly similar weather our volume was virtually identical to the prior year. And in a business like ours which is not characterized by having a few critical customers but instead is characterized by having a large number of small transactions, it’s nearly impossible for a significant volume increase to arise in one spring quarter absent that weather variation. Said differently, we’re comfortable with the earnings potential of our international propane businesses in a normal weather environment. With regard to our business strategy and the financial results to be derived from that strategy, we had in place for many years a strategy and that remains intact. We know what we are; we’re a distributor and marketer of energy products and services that operates regulated and unregulated businesses in the natural gas, electricity and propane space. We’ve got four business units, regulated utilities, midstream marketing, domestic propane and international propane. We expect these units to provide us with a diversified earnings and cash flow growth and the investible cash we generate from those businesses is in excess of $100 million a year. As you’ve heard from us in the past, we typically invested our cash in acquiring businesses and assets but over the last few years, we’ve also invested significantly in internally generated capital projects that are multi-year and duration before they begin. So let me just update you a little bit on how we are doing and investing our cash. Last year you may recall at the end of the fiscal year and the beginning of this fiscal year we grew our international LPG businesses by acquisition which contributed only a bit to earnings this year but is expected to contribute more next year. AmeriGas continues to execute on its small propane company acquisition program as well and it is investing as Gene alluded to in its base business, its strategic accounts and ACE business as well. As I look at the prospect for completing more acquisitions, I’d advise you that it is an exciting time to be in the LPG natural gas and electricity business. There are as many opportunities for acquisition related growth now as I can recall seeing in many years. While we will be as always disciplined, I’m optimistic that we’ll continue to be able to successfully complete acquisitions which will not only improve the operations of our businesses but will also enhance our long-term earnings growth and prospects. As I noted earlier, we revived with you the investment of our cash and large internally generated capital projects, John mentioned a few of those and I will be brief on this. Our Hunlock plant conversion of an electricity generating plant from coal to natural gas is complete. It came online July 1st and is operating as expected. We did miss some hot weather in June but we got plenty of hot weather in July for those of you in the middle of the country in east coast you know that. This should contribute to our earnings growth in the ensuing years. The expansion of our LNG facilities on time and on budget and we expect that to commence operations in late 2012 and while it won’t contribute anything to 2012 earnings, it certainly going to add to our earnings in 2013. Another area we spoken about for internal cash investment is the Marcellus Shale infrastructure and we are making progress here. John summarized that well with a reference to our 15 bcf of underground natural gas storage and the recent action by the public utility commission to approve to perk regulation a nine mile pipeline, we’ll be investing additional cash and as John said to expand the capabilities of that pipeline to enable it to serve other producers in that area. We’re also working on other Marcellus Shale related investments and expect over the years to see a growing contribution to earnings from these investments as we seize opportunities to meet the growing demand for infrastructure in that area. In addition to redeploying that cash and making investments, we’ve said many times that execution is in our DNA. So each of our business units continues to work hard on improving their businesses to gain efficiencies and deliver better service to their customers. Not only is UGI continuing to make progress but Gene alluded to the progress AmeriGas continues to make as it positions itself for long-term success. It is achieving its goals in the small acquisition program making good progress as Gene said in its strategic accounts and ACE businesses as well. And finally, it’s making good progress in implementing its new platform for information technology to serve as a foundation for gaining significant efficiencies in the future while we enhance our ability to serve our customers better in the future. That’s all I really want to add. We are optimistic about our future. We continue to remain optimistic about 2012 as we pursue our strategies, as our capital projects come online and as we redeploy our cash and acquisitions and other investment opportunities as time goes on. So with that, I’ll conclude my remarks and we do look forward to reporting on our progress to you in the future and Mini will take some questions.
Operator: (Operator Instructions). Our first question comes from Darren Horowitz from Raymond James. Your line is open.
Darren Horowitz – Raymond James: Good afternoon, guys. Gene, just a couple questions as it relates to AmeriGas. The first, when you look at the current market environment, as you alluded to higher relative product costs, can you just give us a sense for what you think can be impact on margins has been? And, more importantly, how much of that do you think could be offset by above average commercial segment growth going forward?
Gene Bissell: On the margin side, I think you can see our margins have been holding up during this period despite the higher price of propane and I think if you look historically that’s been the case that we’ve been able to maintain our margins our grow our margins slightly regardless what’s happening to the product cost. So I don’t see that changing. In terms of potential for volume growth there are a number of areas where I think we’ve got competitive advantages. Certainly on the commercial side, part of that is strategic accounts where we’ve got unmatched geographic coverage I think that gives us a lot of potential. ACE continues to be good and we’re very focused on some of the other segments. I mentioned some of them, the corporate segment, the reseller segment. We do think there is potential there. And we think as a larger company we can bring value that might be better than some of the smaller players can in some of the segments.
Darren Horowitz – Raymond James: In the current environment, are you guys seen any incremental customer churn, or is there a way to quantify that?
Gene Bissell: I wouldn’t say we are seeing anything different than we have seen before in terms of customer churn. For the last several years since the recession hit, it’s been a tougher environment than it was before that. The housing starts have been way off that used to be a big source of growth for us. We don’t have as much of that and on the commercial side, still I think customers are pretty price sensitive and focused on competition.
John Walsh: Yes, I was going to say on the commercial side, we’ve got a real advantage there in terms of the breadth of our sales force. We’ve got quite a large sales force focused on commercial customers. Retention of critical customers obviously is a priority in addition to growth. So we have to leverage that sales force and that’s important during periods of growth but it’s also important on the point you raised Darren, it’s also critically important in terms of retention in staying close to those customers when the economy is a bit more of a challenge.
Darren Horowitz – Raymond James: Sure. Final question for me and Gene, it goes back to a lot of the time you spent detailing the opportunities for acquisition growth. Is the target for AmeriGas still to reach that goal of 20 million gallons acquired this year and more importantly, when you think about it from a big picture perspective, has anything changed across the competitive landscape that might open the door for a larger scale transaction?
John Walsh: Why don’t I take the larger and we’ll talk about that. We’ve said over the years that the industry in our view needs consolidation. You all can see volume trends of the industry; the industry has modest declines in volume particularly in an economy like this where you don’t have the housing starts. We think longer term there is opportunities for modest growth in this industry but over the last several years it’s been more of a declining volume base. You gain a tremendous amount of efficiency by having a local economy of scale that is where you are able to have greater density. You are able to leverage systems and so there is a great logic behind consolidation occurring and in fact one of the investment houses put out an article or research piece or an opinion piece, I’ll leave it to all of you to decide which one of that is suggesting that the industry needs consolidation. It is fragmented, the top 10 players have 35-37% market share and there are lots of smaller people out there. If one could ever make the economics work, this industry would be ripe for consolidation. The challenge is that everybody trades at 10 times cash flow and two companies trading at 10 times cash flow, you’ve got to have a lot of synergies and a lot of efficiencies to make it work economically. If you were to see us work on a transaction with one of the larger competitors it would be driven by that opportunity to serve the customer better by gaining efficiencies, gaining density and it would not be completed unless we believe and I am sure any other party to that transaction believe that two companies together made more sense than either company alone. Otherwise there is no point coming together. So it’s a tough hurdle to overcome, not impossible one, but a tough hurdle to overcome given the way these companies trade today and that is exacerbated by the low interest rate environment that run that all the MLPs have had in the marketplace with people seeking yield. So, it a tough environment to get one done but not an impossible environment to get one done. And Gene you might want to comment on the small ones.
Gene Bissell: Sure, I a little relieved here to talk about it and Darren you’re right. We mentioned we closed a 13. We’ve got a couple of more under Letter of Intent. Right now, we’re at about 13 million gallons, just a couple of months left and I don’t know we’ll hit the 20 million which continues to be our target. We’ve averaged to about 19, if you look over the last seven years. But we’re going to be pushing right up to the end to see how close we can get to that this year, but we’ve got a few more to close certainly between now and the end of the year.
Operator: Thank you. Our next question comes from Carl Kirst of BMO Capital. Your line is open.
Carl Kirst – BMO Capital Markets: A few questions if I could. The first maybe and switching over to international but maybe staying with the M&A theme. I guess the first off, can you give us a sense of what the actual integration costs were for both the quarter and year-to-date, just to dot the I’s?
Lon Greenberg: Yes, I don’t have that precise information for you Darren. I know they were a little bit of some unusual integration costs in Flaga this quarter that hit. But generally speaking what we invest in those transactions, about 65 million and as you know overtime we were looking for 10% return on the equity portion of that investment and the aggregate this year we haven’t seen a lot of benefit from it. So you can figure that most of the transition cost ate up all the synergies and the benefits from it this year. But for next year, we’re looking for returns with some debt in there, but if you’re looking for returns on equity of around 10% to start with on these transactions, you’re looking to put some debt on it and multiply the equity by 10% you figure out how much net income comes off. There weren’t huge transactions as we said at the time but they are a nice base.
Carl Kirst – BMO Capital Markets: Right. The other thing I was just sort of confirming with there was the point of 10 million additional euros made with the gross margin there. I just wanted to confirm that the integration or perhaps the acquisitions are performing as expected. It seemed to me that Flaga itself wasn’t nearly as weather sensitive as Antargaz, so I was just trying to get a sense of were basically the acquisitions, apart from weather, performing like you thought.
Lon Greenberg: Yes, I would tell you that directionally transition costs were a little higher than we thought this year, because we accelerated some of those transition costs which might hit next year and for this year and synergies are probably a little higher than we thought they would be. The gross profit volumes margins etcetera all were within the ballpark of what we expected them to be. So they are performing exactly as we thought, except for that moving forward of some of the transition expenses for this year.
Carl Kirst – BMO Capital Markets: Fair enough. The other thing and as we sort of always seemingly, quarter to quarter drill down into the M&A commentary, I guess maybe the question of, as you were talking about perhaps opportunities, you are seeing those good opportunities today as ever, is that sort of across the board, or should be really be looking at a more primarily in sort of the consolidation of the propane, be it domestically or internationally, for that matter?
Lon Greenberg: I would say the opportunities are greater in the domestic propane and international propane and we are seeing opportunities in our other business segments as well. There is from time to time there are some nice generation asset opportunities that don’t fit with other folks from time to time. There are natural gas infrastructure assets that are around that don’t fit with other people and there is a wide range of opportunities but I would say more opportunities in the propane space both domestically and internationally than there are in the other areas that fit with us.
Carl Kirst – BMO Capital Markets: Fair enough. And then maybe last question, if I could and understanding that you guys have a deep bench, so I don’t think anyone is concerned, but as we talk more about M&A, the CFO position is always a good person to have as far as drilling down, bouncing ideas, more from a strategic thought standpoint. I understand it’s difficult to kind of put a timeframe on the search, but how generally are you thinking about that, now?
Lon Greenberg: You mean have I gotten out of my depression yet?
Carl Kirst – BMO Capital Markets: I was thinking to rephrase it exactly like that, but…
Lon Greenberg: Yes, exactly. Look I think we’ve gone through a period like this. We’ve been blessed with good CFOs and potentially some great CFOs along the way and we do miss that position. That doesn’t mean that trains aren’t running on time, that things are happening that, we’ve got a talented group on the accounting sides starting with (inaudible) in our business units across the board with our controllers and so no one has to worry about the I’s getting dotted and T’s crossed in this company. On the sort of what I would call, the side you’re looking at, the opportunistic side, the benefit side, sure we’d like somebody there. If we could find someone as talented as Bob Flexon and it took us nine months as opposed to six months, I’d wait three more months. Obviously that was recognized when Dynergy picked him off as a CEO candidate. So we’re going to get the right candidate and I’m an optimistic person and my optimism is renewed when we’re able to attack Bob here, that we could attract a person of his caliber. We did have a lot of other high quality candidates at that time and generally when we get people to look at us, they get excited about the company. So, I can’t give you a timeframe on it. All I can do is tell you, we’re in the market that search has begun and we’re going to find the highest quality person who can do all the things you’re talking about, not only be a text book CFO but also someone who’s strategic, who’s got excellent Wall street relations and that’s just on the investor relation side but on the investment banking side and someone who’s run businesses because in this company, that role is a critical role for us. And in the meantime John Walsh is really thrilled to be CFO again.
John Walsh: A little bit.
Lon Greenberg: And it’s a great opportunity for folks like Huge to step up and do financings which 6.25% financing in this market, I was ready to And it’s a great opportunity for folks like Hugh to step up and do financing, which 6.25% financing in this market, I was ready to say, who needs a CFO, we got Hugh. And Davinder stepping up and all the folks in AmeriGas, Bill and others are stepping up. So we’ll cover it. It will be a stretch for all of us, but we’ll cover it until we get the right person.
Carl Kirst – BMO Capital Markets: I appreciate the thoughts. Thanks, Lon. Thanks, everybody.
Lon Greenberg: Yeah.
Operator: Thank you. (Operator Instructions) Our next question comes from Yves Siegel of Credit Suisse. Your line is open.
Yves Siegel – Credit Suisse: Thanks, good afternoon. First thought is that it might be a good time for you to ask for a raise.
Lon Greenberg: I was thinking that John deserves it, because he is wearing so many hats.
Yves Siegel – Credit Suisse: I was just wondering if you could also again just maybe elaborate on why this is a good time maybe in the domestic propane market for consolidation.
Lon Greenberg: Yeah. You’ve seen the success we’ve had in the small company transaction. The – to run a small propane business these days is more difficult than it used to be. There are more things you need to tick and flick to run your business well. Your customers are not as content as they used to be because prices are high, particularly relative to other fuels. You’ve got volatility in price. You’ve got volatility in your cost to drive your trucks with fuel. You’ve got other regulations out there. And the propane business was really a high growth business in the 40s and 50s and maybe into the 60s a little, and lot of the owners of these businesses have, like me, gotten a bit older chronologically. And they don’t have people in their families that want to continue these businesses. So, on the small side, that’s a good thing too. And that’s what’s driving our success, as well as excellent execution by our folks in that regard. On the larger side, I think there is a growing realization that the industry trends have not been benign these last several years, that it’s getting harder and harder to make a dollar, that you’ve seen distribution increases generally slow from some of our competitors. You’ve seen EBITDAs under pressure in ways that you haven’t seen them under pressure in the past. And so that -- and everybody knows that these businesses cry out for the efficiencies of the local economies of scale. You can’t make them work off headquarters consolidation, they really work off the economies of scale and delivering to the customer base by density and by sharing best practices among companies. So, a lot of the companies are at stages where they are doing other things. You can read the paper as well as I do on other companies, who are in this space doing other transactions or trying to. There are folks who are reassessing the strategies and the business. There are medium sized businesses where the owners are older. So domestically, it has been a tougher operating environment, an aging ownership environment, an aging management environment, and in those situations, you get more opportunity to consolidate.
Yves Siegel – Credit Suisse: That’s a great answer. Thank you. The, when – shifting gears to the Marcellus and thinking the storage agreement that you -- maybe John mentioned earlier in his remarks, why only a one-year commitment as opposed to a multi-year commitment?
John Walsh: Yeah. Yves, I think probably the most critical driver was when – as those assets were transferred and we went to market with them, the market -- there was some instability in the market or perhaps an inflection point as demand slowed, and as Marcellus was just ramping up. So we felt it made the most sense to enter into short term agreements, run that storage field for a year, and then develop our strategy moving forward. So, we’re looking closely at that. We’ll spend the next couple of quarters here thinking about how to frame that RFQ in the future when we go out next spring. So, it gives us an opportunity to assess the market, think about how to structure the portfolio, that asset moving forward, and then go to market in April, or leading up to April with an RFQ.
Lon Greenberg: Yeah. The one thing John didn’t mention in that, Yves, was this was clearly our choice. It could have gone longer.
John Walsh: Sure.
Lon Greenberg: And we felt with some of the enhancements we’re going to make to getting into that asset, out of that asset, the storage assets become most valuable when there is enhanced churnability, when there is enhanced transportation in, where producers can get direct access, as John was alluding to it before. And with, as John said, the Marcellus really coming around, we had a couple of years of low volatility in the gas business, and all of a sudden volatility came back this winter. So we felt that the better part of the hour was to go short and look at those enhancements we could do, look at the market. So we feel much better about having done that.
John Walsh: And you can see, even in the last few months, producers, as they – as the fields come online and they look to get product to market, they’re running into obstacles and constraints. So, I think there is a growing realization as this market evolves that access to storage becomes critically important. So, we think our timing will be good in terms of going back to market.
Yves Siegel – Credit Suisse: And then two more questions if I could. How would you characterize your outlook for the Marcellus recognizing that you’ve pushed out some of the projects? Are you as bullish as you were before, less bullish, pretty much the same, no change?
Lon Greenberg: I’ll take a shot and then, John, you amplify. I think we’re as bullish as ever. There is not near -- I forgot the statistics Brad says, which is like 500 something or other trillion Bcf or something of gas that’s there, and you can transport one unit of it. I mean it’s really the infrastructure needs to be built. There is hardly anyone better positioned than we are. We have actual customers who need gas. We’ve got utility pipes throughout that region, at least in the middle of the state going east in that region. We’ve got storage. We now have a small pipe there. I would say, notwithstanding the fact that we’re as bullish as ever, the low gas prices have dampened the enthusiasm for the producers to drill as quickly as they may have anticipated. If the gas is not wet, where it’s not wet in many of our areas, there the producers are drilling enough to hold leases, but they are not drilling as quickly as they are in the western part of the state where the gas is wet. And so the producers are being a little more slow to make decisions on how they want to drill and what commitment they want to make. Because as you know, you put one of these pipes in the ground, be it a gathering type pipe or a larger pipe to move it between interstate pipelines, you need a commitment in order to move forward with those projects. So I would say it’s going to evolve more slowly that we thought. Yet, we’ve got a number of good projects on the drawing boards that we think will demonstrate to all of you that we add value there and that we’re optimistic. We’ll be able to move forward with a number of those as 2012 moves forward.
John Walsh: Yeah, I would just echo Lon’s comments. We remain very bullish and as bullish as we were a year ago. Certainly, we’ve learned a lot in the last year, and probably more critically we’ve taken a number of small but important steps in terms of creation of infrastructure that will support the ongoing evolution of the strategy. So, transfer of the storage asset, transfer of the line that I referenced up in my Wyoming County, the interconnection of the producers in Tioga County to storage are all kind of building blocks that put us in a better and better position to work with producers, and offer them services that enhance the value of our offer, and provide them solutions, because it’s a rapidly evolving market, and I think producers are recognizing the importance of access to various markets, so they have options. And as Lon mentioned, the fact that we are a significant consumer, meaning we have significant demand, both on our regulated and non-regulated side of our business, is critically important, and will – I think becomes more important as production ramps up. So, we know a lot more than we did a year ago in terms of actually having projects underway and transfer of assets, which just further reinforces the way we felt a year ago and we’ve made some good progress.
Yves Siegel – Credit Suisse: And the last question is, I’m not trying to be funny, but what drove the decision to refinance the notes at AmeriGas? And why go to – I think it’s an eight-year tenure as opposed to 10 years?
Lon Greenberg: Yeah, we – I was going to be flip and say it’s because we had no CFO to guide us. But –
Yves Siegel – Credit Suisse: Just got (inaudible)
Lon Greenberg: Right, exactly. The real answer on it is that we’ve always felt pushing off maturities in a low interest rate environment is a good thing. This was net present value. We don’t – we generally look at these things different from many people. We look at it as – when it creates real value, we’ll do it. This was net present value positive for us and our owners, over the life of the transaction. The reason we chose eight was to stagger our maturities in a way. If we went 10, we would have had maturities that were on top of each other in a way that was a little uncomfortable. Is that right?
John Walsh: Yeah, we went into this year with maturities in two debt hours one in 2015 and one in 2016. In January, we took the 2015s out 10 years to 2021, and we wanted to avoid that. So we considered an eight and a 12, but we did not want to do a 10 on this one.
Yves Siegel – Credit Suisse: Got it. Okay, great. Thank you very much.
Lon Greenberg: We didn’t want a billion dollars of debt coming due on the same year.
Yves Siegel – Credit Suisse: Okay. Thanks guys.
Lon Greenberg: All right. Thanks Yves.
John Walsh: Thanks Yves.
Operator: Thank you. Our next question comes from Ron Londe of Wells Fargo. Your line is open.
Ronald Londe – Wells Fargo: Thank you. Concerning the ACE business, there is a couple of ways you can grow number one by location and I think you indicated that you had 1,500 more sites in your backlog to build on. And also there is switching from charcoal to propane fuel for the consumer grills out there. Can you give us kind of a feel of where you are in the growth path for both of those areas? Is there any way that you can monitor the consumer switching from charcoal to propane and where you think the growth is and how mature the – from the location standpoint where you are in that curve?
John Walsh: Sure Ron. I guess the way we tend to look at it is same-stores -- we look at same-store sales, and a lot of that’s driven by people switching say from charcoal or people doing more grilling or just people liking the convenience of exchange as opposed to going to the local gas station to get their cylinder filled. And it’s hard for us to separate those out. There is a barbecue association that periodically does surveys and tries to tell us what percentage of the market is exchange, what percentage of the market is filling their cylinders, and what the overall growth rate is. But looking at what we’ve seen this year, we’ve seen about 1% same-store growth and the balance of the growth we’ve seen has been from new locations. So that’s kind of what we’re seeing right now. Historically, we’ve seen same-store growth somewhat stronger than that. And it’s hard to predict the future, but we – people do say that more and more people are switching from charcoal to gas.
Ronald Londe – Wells Fargo: I do notice at the low end of the scale on the charcoal and the gas grill is getting more in line with the charcoal grills?
John Walsh: For the price of the grill themselves?
Ronald Londe – Wells Fargo: Yeah, right.
John Walsh: Yeah, yes.
Ronald Londe – Wells Fargo: I mean if somebody is rolling over from one to the other, I see it’s almost a push if you’re looking at upgrading to a gas grill?
John Walsh: And also what we -- before the recession hit, what we are seeing is more and more people spending more time grilling. So even if you had the grill, you’re using it more, using more cylinders. So I don’t know we haven’t seen that recently. As I say same-store growth has only been about 1%, but we used to see 3% on kind of a regular basis.
Ronald Londe – Wells Fargo: Okay, it’s interesting. Thank you.
John Walsh: Thanks, Ron.
Operator: Thank you. We have a follow-up question from Carl Kirst of BMO Capital. Your line is open.
Carl Kirst – BMO Capital Markets: Hey, guys thanks. Sorry, just very quickly, just with the euro kind of having strengthened somewhat, I didn’t know if there was any update to sort of the net hedging for fiscal 2012 and 2013 at this point?
Lon Greenberg: Yeah. We, as you know our policy is to kind of go out directionally three years, and we tried to get done before a fiscal year starts 90% to 100% of that fiscal year. And then we try to get nominally two-thirds done one year out and a third done two years out. And we’re about on schedule for that and net-net we’re going to have a better euro translation rate next year although not markedly better, but it’s going to be better than last – the ‘12 rates going to be better than the rate that effectively hit ‘11.
John Walsh: Correct.
Lon Greenberg: Yeah.
Carl Kirst – BMO Capital Markets: Okay. Thank you.
Lon Greenberg: Yep.
Operator: Thank you. I’m showing no further questions in the queue at this time.
Lon Greenberg: Okay. Well, thank you all very much for your interest. We remain focused on executing our strategies, putting our assets to work and improving our businesses. And we look forward to having a good summer and speaking with you as our fiscal year ends and we’re able to put out some guidance next year. So, everybody have a good summer and hope to talk to you soon. Bye, bye.
John Walsh: Thank you.
Operator: Thank you. Ladies and gentlemen this concludes the conference for today. You may all disconnect. Have a wonderful day.